Operator: Good afternoon, everyone and thank you for joining us. Earlier today, Quantum-Si released Financial Results for the First Quarter ended March 31, 2025. A copy of the press release is available on the company's website. Joining me today are Jeff Hawkins, our President and Chief Executive Officer, as well as Jeff Keyes, our Chief Financial Officer. Before we begin, I would like to remind you that management will be making certain forward-looking statements within the meaning of federal security laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appears in the section entitled forward-looking statements of our press release. For more complete list and description of risk factors, please see the company's filings made with the Securities and Exchange Commission. This conference call contains time sensitive information that is accurate only as of the live broadcast date today, May 15, 2025. Except as required by law, the company disclaims any intention or obligation to update or revise any forward-looking statements. During this call, we will also be referring to certain financial measures that are not prepared in accordance with U.S. generally accepted accounting principles or GAAP. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is included in the press release filed earlier today. With that, let me turn the call over to Jeff Hawkins.
Jeff Hawkins: Good afternoon and thank you for joining us. On today's call we will provide a business update and review our operating results for the first quarter of 2025. After that, we will open the call for questions. I will begin with a reminder of our three corporate priorities; to accelerate commercial adoption; to deliver on our innovation road map; and to preserve our financial strength. Our first corporate priority is to accelerate commercial adoption. During the first quarter we launched the Platinum Pro system and completed our first customer sales. Our first quarter revenue of $842,000 is an 84% increase over the first quarter of 2024. Though this result was slightly below our expectations. During the quarter, we observed a significant slowdown in new instrument purchases in the U.S. academic market due to the ongoing market uncertainties related to NIH funding and indirect cost caps. We expect these uncertainties to continue to impact new instrument sales in the U.S. academic market until at least the fall of 2025 when a federal budget is estimated to be approved by Congress. That said, our existing U.S. academic customers continue to purchase consumables during the first quarter and we have no indication from customers that this pattern will change. Turning to other segments in the U.S. market, we continue to believe that pharma, biotech and government laboratories represent a good opportunity for continued growth in terms of both new instrument sales and ongoing consumable sales. With the NIH funding uncertainties expected to persist for the foreseeable future, we are putting greater emphasis on the pharma and biotech opportunity with our U.S. commercial team and distribution partner. To that end, we are pleased to report that we have recently completed the training of Avantor, our North American distribution partner. We are working closely with the Avantor sales team as they build their sales funnels and begin progressing opportunities through the sales process. Turning now to international markets, we exited the first quarter with 23 international distribution partners. Overall, our international business performed well during the first quarter and we are pleased with the continued interest we are seeing from potential customers across all international distribution partner territories. We continue to believe that our low capital cost, simplified workflow and automated data analysis is a compelling option for researchers in these regions looking to integrate an advanced proteomics platform into their research. While the NIH uncertainty may impact short-term commercial results, we are optimistic about the opportunity to continue to grow our customer base in pharma and biotech and across the countries covered by our international distribution network. Additionally, we remain confident in the long-term market opportunity in proteomics and the technology roadmap we are executing on to capitalize on that opportunity. Our second priority is to deliver on our innovation roadmap. We continue to have high confidence in our technology roadmap and our R&D team's ability to deliver on that roadmap as they have done over the past two years. As a commercial stage company, we interact with customers, prospective customers and distribution partners every day and consistently receive feedback that confirms our view that whole proteome sequencing is the long-term future in Proteomics. Our version 4 Sequencing Kit remains on track for a third quarter 2025 launch. We expect that this kit will further increase proteome coverage and via increased amino acid detection and the addition of a new enzyme that is engineered specifically to provide high efficiency cutting of the amino acid directly preceding a proline. We believe this combination of improvements will allow customers to analyze more peptides for protein and detect more amino acids within the peptides present, especially those positioned behind a proline. Turning now to library preparation, we are pleased to share that we have made great progress in our innovation program aimed at enhancing library preparation performance and now expect to be able to release a version 3 of our Library Preparation Kit by the end of 2025. While we are still early in the development program, the initial data gives us confidence that there is a clear path to reduce the sample input requirement for our kit. We believe that our ability to lower the protein input requirement will enable our customers to pursue an even greater range of biological samples and proteins of interest, and the early data suggests that we will be able to make a very meaningful improvement in this area. Next, I would like to provide an update on the Proteus development program. As a reminder, Proteus incorporates a new instrument and consumable architecture that will offer significantly more reads per sample, more samples per run, and greater workflow automation than our current platforms. We are pleased to report that we remain on track to successfully perform protein sequencing on a prototype Proteus system by the end of 2025. Hitting this milestone in 2025 sets us up well to deliver on the launch of proteus in the second half of 2026. In terms of interim milestones of the Proteus development program, we achieved two important milestones since our last call. First, we have been able to successfully demonstrate the full fabrication process from raw material to finished wafer. This was an important step as it provides us with confidence that we can produce the quantity of consumables we need to support the ongoing development efforts. Second, we have demonstrated a set of fluorescent dyes that are compatible with the new technology architecture, and we have enough distinct dyes to support moving our current sequencing chemistry over to the Proteus platform. In addition, we are in the late stages of completing the delivery of additional dyes that proactively position us for an expanded set of amino acid recognizers that we anticipate bringing to market as part of the Proteus platform launch in the second half of 2026. Finally, I would like to spend a few minutes updating you on the broader opportunity for our core technology beyond protein sequencing. During our November 2024 Investor and Analyst Day, we shared data from our research initiatives that showed the vast capabilities of our core technology to be extended into other areas of proteomics beyond protein sequencing. Based on the data presented, we believe our core technology is the only commercially available technology that can enable single molecule, top down and bottoms up proteomics methods. Because of this, we believe that our Proteus platform and core technology will be capable of addressing the broadest range of proteomics analysis methods of any technology in the market today. To accelerate the realization of that opportunity and in response to customer and partner interest, today we released additional information about the application of our core technology to ultrasensitive protein detection. With only a modest amount of investment to date and using off the shelf affinity reagents, we have demonstrated sensitivity in the low femtomolar range, working directly from serum and generating results in about two hours. This is all enabled on our low cost Platinum Pro instrument and does not require any additional readout using PCR or NGS. Through partnerships and collaborations with organizations that have highly optimized affinity reagents, we believe the assay performance would only improve from here. We are sharing this information today to make our capabilities more visible to the broader market and thereby accelerate the path to unlocking this capability via strategic partnerships and collaborations over the coming quarters. Our third priority is to preserve our financial strength. While the current market uncertainty may impact short-term commercial results, we remain confident in the long-term market opportunity in proteomics and the technology roadmap we are executing on to capitalize on that opportunity. We believe that we are the clear technology leader with the only commercially available next generation protein sequencing platform and we expect to continue to build upon that leadership position going forward. We have a strong balance sheet and will continue to invest our capital in an efficient manner that maximizes long-term shareholder value. I will now turn the call over to Jeff to review our financial results.
Jeff Keyes: Thanks Jeff. Now I'll review the details of our operating results for the first quarter of 2025. Revenue in Q1 2025 was $842,000 which consisted of revenue from our Platinum line of instruments, consumable kits and related services. Gross profit was $486,000 and gross margin was 58%. As I have said in the past, our gross margin percentage will be somewhat variable for the foreseeable future as we work through our continued commercialization efforts and may be impacted by the timing and mix of instruments versus consumable sales. Our margin has also been impacted and may continue to be impacted by the acquisition costs and any accounting adjustments to underlying inventory some which predates the commercial launch of the Platinum line of instruments. Our Gross margin for Q1 2025 includes approximately a 7% benefit for inventory utilized during the quarter that was carried at low or no value. Turning to operating expenses, GAAP, total operating expenses for the first quarter of 2025 were $25.6 million compared to $23.6 million in the first quarter of 2024, while adjusted operating expenses were $22.9 million for the first quarter of 2025 compared to $21.9 million for the first quarter Of 2024. Overall, we have continued to manage our operating expenses tightly while continuing to fund our investment in our commercialization efforts and funding our various development programs, including our Proteus Development Program, which was launched in November of 2024. Our dividend and interest income for the first quarter of 2025 was $2.5 million compared to $3.6 million in the first quarter of 2024. Overall, 2024 benefited year-over-year from higher interest rates relative to our overall cash, cash equivalents and marketable securities position. As of March 31, 2025, we had $232.6 million in cash and cash equivalents and investments in marketable securities. At a broader market level, we are tracking the potential impacts that evolving tariffs enacted by the United States and other countries throughout the world may have on our operations. Tariffs have the potential to impact us from both the acquisition costs for our inventory and from import tariffs that could impact our sales channels outside the United States. Regarding inventory acquisition costs, we have completed a preliminary analysis and have determined the tariff impacts would not have a material impact on our inventory acquisition costs in the near-term. In addition, for much of our underlying materials, we have supply available for several months and up past a year, limiting our near-term exposures. However, to reduce any impact in the long-term, we have several mitigation strategies in play including but not limited to, sourcing raw materials and supplies from lower tariff countries or within the United States directly, as well as potential commitments to higher volume purchases that reduce our overall cost per unit balancing the cost of materials with the added tariff. Regarding the import tariffs related to other countries we sell into, to date we have not seen an impact or not anticipating any impact as scientific and medical devices have historically been exempted for import tariffs. As Jeff mentioned earlier, the NIH funding environment and the related proposed indirect reimbursement rate cost caps are causing uncertainty in the United States academic market. Given the current environment, we are working to mitigate any potential impact by focusing on market segments and geographies that are not impacted by this NIH uncertainty, including biotech and pharma as well as customers outside the United States, either directly or through our 23 international channel partners. While we are confident in the long-term proteomics market and the value Platinum Pro plays in delivering value to the market, the current environment makes it challenging to provide any clarity around top line financial guidance. As we get more information and certainty in relation to the NIH funding and indirect cost caps, we hope to be able to provide more transparency in future quarters. From an adjusted operating expense and cash perspective, we're still anticipating adjusted operating expenses to be $103 million or less for 2025 and total cash used for 2025 to be $95 million or less. And finally, we remain confident that our current level of cash, cash equivalents and marketable securities will provide runway into the second half of 2027. Now I'll turn the call over to the operator to open the line for questions.
Operator: Thank you. [Operator Instructions] And the first question will come from the line of Kyle Mikson of Canaccord. Your line is open.
Kyle Mikson: Hey guys, thanks for the questions. So, I guess good to hear that you are pretty confident in the biopharma side of your business. Just given the issues on the U.S. academic research side. However, there are, there has been talk of potential tariffs over there on the pharma side as well as the most favorite nations, potential as well in the pricing there. So, in general it seems like spending and budgets and so forth in the biopharma world are a little bit pressure or at least uncertain right now. So could you just walk through what in your recent conversations with those partners has given you confidence that you'll be able to continue to successfully penetrate that end market as well as maybe accelerate a bit too and make up for the lost research revenue? Thanks.
Jeff Hawkins: Yes, thanks for the question, Kyle. You know, I think our -- I'd say a couple things. The first is, some of the various policy related items that are being discussed, those relate a lot to, on market drugs or therapeutics and the cost of those and such. And it's obviously a complex topic that goes well beyond just the pricing from the individual pharma company. But in general, we're not seeing any trickle through right now to where there are changes being made to sort of R&D priorities, or funding. I think a lot of the funding levels and areas of focus for at least the biotech and pharma companies that were speaking with, they've sort of been set in motion. Some of those have, been adjusted historically to the levels they were comfortable with. So we're not seeing it any of the headlines sort of trickle through to a change in the engagement from those, from those partners. So that's what really gives us the confidence that, we're solving for a problem that does fit something they're focused on, which is how do they, work more efficiently and more cost effectively.
Kyle Mikson: That's great. Then with the Platinum Pro launch, I know it's super early, but some of these early adopters, what's the feedback been like and how has that different from maybe initial, almost like beta or alpha use of the product? As you think about that feedback, I mean, how lockdown is the platform? I guess until you kind of get the Proteus later on.
Jeff Hawkins: Yes, I think the Platinum Pro system, we would consider that locked down. That was certainly not what I would consider an early access or some sort of minimal commercial release sort of approach. We're making the device with our contract manufacturing partner. We've had great success producing it, we've been able to deliver it and installations and usage sort of reliability has been fine. As we've talked about on prior calls, the customers adopting it right now tend to be customers who either want access to the open mode or what we call pro mode of the device, or perhaps want access to the ability to do some level of data analysis on the device. Perhaps they have institutional policies around the access to the cloud and other things. And then you always have some number of people who just prefer to have the newest device. To be clear, we still are selling some Platinum devices. We had some inventory of those coming out of the end of 2024 and we are continuing to sell those and we expect to be able to sell through that inventory over the course of the coming months.
Kyle Mikson: Got it. And maybe just going a step further, could you talk about what's going to happen, I guess, with the cost of goods and the gross margin profile going forward, given this almost like transition? As well as you have this installed base of over 50 units out there already, I would imagine that utilization has sort of ramped up over time. And at this point some people are probably relatively comfortable leveraging and using these instruments. So how should that progress this year as we think about what happened in the first quarter and some of the challenges and pressures that are happening from a macro perspective?
Jeff Hawkins: Yes. Let me start and talk a little bit about utilization. Then I'll turn it to Jeff to talk more about gross margin and what we're doing to manage cost of goods in the current landscape. On the utilization front, I would say a couple things. The first is, you know, as we said in our prepared remarks, our U.S. academic customers are continuing to purchase consumables. So we haven't seen some sort of change in their ability to purchase consumables and continue to perform experiments. We certainly do see utilization rates that vary across different customers or different segments. But I would say the overall trend we're seeing is consistent with what we would expect, which is an increasing level of utilization of consumables by existing customers as they adopt the platform, get it into their workflow, and sort of get comfortable with its capabilities and how to apply it. The other thing I would say is, we have a very focused effort from our application scientists, both in our direct channels, but also in support of our international partners, to really make sure that we're there to help customers as they want to, tackle different types of applications or analysis, to really make sure we're doing everything we can to proactively help the lower utilizers increase their utilization and help those who utilize it at a higher rate make sure they're unlocking sort of every application they would like to do. And maybe, Jeff, you want to speak to cost of goods and margin?
Jeff Keyes: So, Kyle, our historical margin has been hovering between that 40% to 50% range. Obviously we had 58% this quarter, but I commented that 7% of that was from low or no cost parts that predated commercialization. We generally expect that we're going to be in that same range going forward. And obviously that's a mix of consumables and hardware. We're still ramping up commercially, so there's going to be just variability on a quarter-by-quarter basis on hardware units and consumable units. But I would say the cost of goods sold for the new Platinum Pro is fairly consistent with our existing Platinum. Obviously, it's got some more features and things that we've added to it, but it's in the same general ballpark. And then finally on tariffs and things like that, in my prepared remarks, I talked about that a bit. We're managing that. I wouldn't say the number is zero, but it's really not material that we can see from a forward standpoint. But we're going to continue to manage through that. And obviously the part that we don't know is what the administration's going to do and we closely watch that and adjust as needed.
Kyle Mikson: All right, great. And then maybe sticking to that side, the financial side. So I understand you guys have cash until I guess through 2027. Solid Runway. However, the top line is relatively a moderate base, let's call it, and even street estimates are just above $50 million for revenue in '27. So it sounds like, given your burn, it sounds like beyond '27 it could be you're going to have to layer onto the balance sheet. Then in there you have the Proteus upgrade cycle as well, probably, and if that freezes things too for a bit. So how do you think about maybe like pulling back on R&D or marketing or SG&A, let's say sales in that event, I guess, and just comfortability on from a cash perspective given again, some of these macro issues?
Jeff Hawkins: Yes, Kyle, I think so. First, yes, we have cash. We said we have cash that carries us out into the second half of 2027. We feel comfortable with that guidance. Even in light of what's happening in the macro environment. The way we think about this is sort of twofold. One is I think we've taken a lot of steps in our commercial strategy to strike that balance between where to make the direct investments and have our own employees doing certain activities, some level of sales, some marketing, some of the application support, but have also been very proactive in the utilization of channel partners. We have our international distribution network with 23 partners and we have our North American distribution partner, Avantor. And I think those are good examples of gaining footprint in terms of the number of people out talking about our product every day without us having sort of the direct carrying cost of those folks in the event that revenues are choppy or the macroeconomic picture was the change. So I think in that regard we're being very thoughtful. We don't have significant plans to expand our investments. They're very sort of targeted investing in those areas and really leveraging those partners. From an R&D perspective, I feel like we've done a lot there over the last two years to really get the R&D investment and priorities really aligned, get the right roadmaps in place and really deliver the innovations to the market. I think at the end of the day, us continuing to keep our technology leadership and deliver on the Proteus launch and the various improvements to the library prep and chemistry are key to succeeding in the market. They're key to having the most competitive product and we're playing the long game. We think the current challenges are short-term in nature. They're going to at some point resolve and we're going to continue to invest in the business. I think our view on cash is simply we are capitalized out into the second half of '27. We're going to invest wisely. We think there'll be a lot of value creation opportunities between here and the end of '26 nonetheless, none the least of which is the launch of the Proteus platform. And I think we'll sort of evaluate when we get there what are the various strategic options and what's the best way to capitalize the company to the extent, we need additional capital to carry us out. So I think we're really focused on what we do between here and there to really add value and get to that launch and then really look at the strategic options and what's the best thing for the company and the best thing for our shareholders.
Kyle Mikson: All right, perfect. And finally, last one on your international presence, I think you said you have 23 partners, and recently that was 18 partners. So you're kind of increasing that. So that's good. Could you just clarify how many, let's say, countries or maybe more detailed regions, let's say that gives you access to? And then maybe just a little bit of a flavor for the tariff situation, I guess, and how you see it in those areas?
Jeff Hawkins: Yes. So first on the tariff situation, as Jeff said in his prepared remarks, we haven't seen any impact to date in terms of importation related tariffs that would increase the cost for those partners to bring our product into country. We haven't seen that happen. And that's pretty consistent with historical practices, which are scientific and medical instrumentation has largely been exempted from those things in the past. So, we're watching it closely, but nothing to report at this point. In terms of the partners themselves, most of our partners cover more than one country. You have some instances where it's a more significant country in terms of size and perhaps they cover a single country. They cover Singapore maybe as an example, or Japan as an example. But when you get into some areas of the world, like Eastern European, you might see, you know, one distributor have, three, four or five countries. So there is some mix in terms of the number of countries each partner covers. You are correct that we expanded that network a bit to 23. We think we're largely complete with that build out. There are a couple of countries left that we think represent good proteomics opportunities and have existing established markets that we could tap into. So we may add a few more partners to that mix over the coming quarters, but we think we're largely complete with that build out.
Kyle Mikson: All right, great. Thanks so much, guys.
Operator: Thank you. One moment for the next question. And the next question will come from the line of Scott Henry of AGP. Your line is open.
Scott Henry: Thank you. And good afternoon. Big picture question. You may have mentioned it already, but I think it's worth doubling down on it. When you think about your total market, U.S. OUS, all segments, what percent do you think of your target market falls in that kind of NIH academic U.S. based market? Just trying to get a sense of the magnitude because I know you do a lot overseas as well.
Jeff Hawkins: Yes. So maybe I can give a couple data points that help to elucidate that. I think maybe one general comment I would make, Scott, is that, obviously at the, at the current commercial scale we're at, the market is very large. So we're not in a situation where, we've maximized penetration and, even the slightest change in a market size is going to in some way constrain us. So, I think from a macro perspective, obviously large markets with, fairly modest penetration, so a lot of upside to go tackle. A couple data points we can give you. One is if you think about our customer mix. So, like maybe just think about it in terms of instrument installations, where are those at? So at the end of the quarter, we're at about 60% of our instrument installations are in laboratories outside of the U.S. and about 40% of those are in the U.S. So that gives you a little flavor for the diversification of the base of installed instruments today. And in terms of the U.S. market, the data point we can give you is around 20% of the total business we have is in the U.S. academic market. So if you think about all machines placed globally, about 20% of those are in U.S. academic markets. Again, those people are still buying consumables. But if you want to sort of have a way to think about the instrument sort of distribution today, I think those two data points give you a couple ways to think about it.
Scott Henry: Yes, that's really helpful. I appreciate that. And then spending patterns, certainly Q1 was lower sequentially from R&D and SG&A. The question is, do you think, is that a seasonality or might we be seeing some lower cost structure? And I know the Avantor situation helps on that front.
Jeff Keyes: Hey Scott, this is Jeff. Well, there's always a little variability quarter-to-quarter on how spend goes out, probably more in the R&D bucket as we go through development stages of our products. And so that's why we provide guidance for the full year on what we're going to do from a total OPEX spend of that $103 million or less. But I can say as we went through the end of last year, we did a restructuring of our R&D department and really overall organization to really focus resources to development of the Proteus project. We kind of right sized everything and fully funded that Proteus development spin to be within that $103 million. So there may be some variability on a quarter-to-quarter, but for the full year we're well on the track to kind of hit that number or below. But always some variability just depending on the stage and the activities that are going on in R&D department.
Scott Henry: Okay, great. Thank you. Final question, just on the Avantor relationship. It looks like training is complete. Any comments on the progress there? Is it matching up with your expectations? Just any kind of feedback on the early returns of that?
Jeff Hawkins: Sure, yes. So as you said, the training and onboarding of their team has been completed and we'll continue to obviously provide continuing education and assistance where they need it, but they are trained, they're out now building those sales funnels, we have regular calls, both at what I would call more of a regional level between, one of our sales professionals and a smaller number of theirs, but also at the executive level, between our company and the folks over there that lead their broader teams. As part of those interactions, they share with us sort of their activity metrics and we have visibility to that sort of on a regional level. And I would say while it's early days, we've been quite pleased with the activity level we're seeing across all the regions. And it's just something we have to stay on top of and continue to make sure we're both monitoring it, but also providing the support. And, I think we're starting to see our teams work together to progress opportunities through the sales funnel. So we -- we're not Avantor is no less immune to, that there's a sales cycle and a sales process than anybody else. So, I think we're -- we'll work through those processes. But right now, the early data says we're seeing a nice level of activity and engagement and pretty uniformly across all the, the different regions they have.
Scott Henry: Okay, great. Thank you for taking the questions.
Operator: Thank you. [Operator Instructions] The next question will come from the line of Swayampakula Ramakanth of HCW. Please go ahead.
Swayampakula Ramakanth: Thank you. This is RK from HC Wainwright. Good afternoon, Jeff and Jeff. On the next version of the Sequencing Kit, you know, that you plan to release in the coming quarter, I'm trying to understand, like, how do you make it? I mean, first of all, do these Sequencing Kits, are they different in terms of efficiency or the speed with which the -- I know you have a separate one for making the sample as well. When somebody thinks through for an industry or biopharma use versus academic use, is there any differential at all, first of all? And then two as you improve these versions. So, what are people getting in the next version and the next version?
Jeff Hawkins: Yes, I would say two things. One is there is not a different kit in terms of sequencing that we, that, let's say an academic researcher would use than a biopharma or government lab might use. I think when we go through these sequencing kit evolutions, there's ultimately a period where both the current version and the new one are offered, but then reasonably short after the launch of a new kit, we tend to phase out the prior kit and all customers move over to the new one. So in that regard, sort of uniform kit used across all the segments. A very similar sort of explanation about library prep as well. I think when we move between these kits, what we really look at RK is when do we have enough individual changes that when combined together, lead to a meaningful improvement in performance? And when I say meaningful improvement in performance, what we're really looking at is are customers going to be able to get more information when they sequence? Will they see more peptides? Will they see more amino acids? We're also obviously, as we're out in the market, we know what applications or proteins people maybe have wanted to try to sequence. And perhaps an older version of the kit wasn't capable of that. We add new capabilities. We can also see how many of those additional applications or proteins of interest would now be accessible to customers. So, we look for things like that. As an example, the addition of the cutter discussed in the prepared remarks to cut through the amino acid directly before Proline, that really opens up a lot of amino acids that sit downstream of that Proline. And as an example, antibody QC, the antibodies tend to be fairly rich in Proline. So having an ability to cut through those and sequence the remainder of those peptides should help us in that example, be able to cover more of the types of QC applications people might want to do with antibodies. So that's just sort of one example, but that's sort of how we look at it. It's really that what additional applications or proteins or capabilities would customers get? And when do we have enough of those to put into a kit? And for us, that's been sort of on that cadence of about every nine months or so we've been able to make enough improvements that we really think there's a meaningful lift for customers and therefore it's worth the R&D investment.
Swayampakula Ramakanth: Okay. The last time when we were talking, you're telling or we were discussing that you always want to keep a distance between yourself and the next competitor. And in a market like this, since you have the little bit of the cushion that you have on the financial side, you always want to maintain that distance or even try to increase the distance artificially if the other competitor doesn't have enough financing. But having said that, as this was about a month and a half ago and now it's probably you have a little bit more insight into how, your various customers are behaving. Does that still resonate between you and the board and everybody in the company in terms of keeping that couple steps ahead of the competition? Or do you see that at some point you might also have to slow down a bit just to conserve cash and maintain the Runway?
Jeff Hawkins: Yes, I think, RK it's a fair question. I think consistent with what I said to Kyle on a similar thread, I think our view is, one is our view is that, yes, we are still well ahead of other technologies attempting to do something very similar to us, trying to sequence proteins at the amino acid level. We have technology roadmaps. We, while we're investing, you know, in a healthy way in R&D, I can tell you that we have more ideas than we do programs. So we are making decisions every day on where to apply that investment in an effort to continue to extend that market leadership, but not spend above what we think is prudent for the stage of the business, the market dynamics, cash balance, et cetera. So this is something we as a management team closely sort of watch and talk about. We have mechanisms in place to really monitor the way we're allocating that R&D investment across those maybe longer term investments in research or innovation versus the product development efforts that will directly lead to product launches in the nearer term and can be capitalized on commercially. So we're very careful with those allocations. And these are all things we discuss very openly and candidly with our board and get great counsel and advice from those folks. And I think right now we, we collectively are comfortable with the way we're investing, we're comfortable with where our runway is, but we are taking in data and watching the markets and the trends just as everybody else is. And if things were to deteriorate in the macro economy in some way, I think we've shown a willingness in the past to be proactive here and make changes when they're called for. But at this point we think we've done that some of that hard work, really have the investments focused the right way and believe we've got it allocated to the most high value programs. And we're sort of continuing with that approach at this time, but always monitoring, watching and prepared to react if indeed sort of it's required.
Swayampakula Ramakanth: Okay, thanks for that. And then for this morning, there was a webinar by one of the academicians who has been using your system. And how are such conversations by the academicians to other academicians? How is that helping out? And is that the sort of thing that you're trying to do in terms of soft -- in a softer manner, how to propagate the utility of your systems?
Jeff Hawkins: Yes, I think the way to think about it is we see peer to peer as a very powerful sort of medium to gain awareness and interest in the technology. I think in this case you're talking about a webinar that a customer did. But we also RK have hosted sort of what we call user group meetings where we invite both current and prospective customers to virtual events where they're able to hear about the type of research our customers around the world are doing with the technology, hear what other people are doing, ask questions about how the technology's performed, what it's been like to implement it in their laboratory. So, I think that adds on top of the posters that get presented at meetings or the papers that get published, I think to me it's a collective of activities that are about customers and researchers sharing their experiences and trying to provide people with their perspective and really just build that peer to peer, sort of those linkages. I think it's a nice complement to the direct selling activities you do. And I think it's an important part of bringing new technologies to market and doing so in a very high integrity, high scientific sort of focus.
Swayampakula Ramakanth: Thank you. Thank you, Jeff, for taking my questions and talk to you soon.
Operator: Thank you. And this does conclude today's Q&A session. I would like to turn the call back to Jeff Hawkins for closing remarks. Please go ahead.
Jeff Hawkins: Thank you for attending our call today. We look forward to providing more business updates during our next earnings call.
Operator: Thank you for participating in today's conference call. You may now disconnect.